Operator: Good morning. My name is Bridgit and I will be your conference facilitator. At this time, I would like to welcome everyone to Two Harbors’ Second Quarter 2017 Financial Results Conference Call. All participants will be in a listen-only mode. After the speakers’ remarks, there will be a question-and-answer period. I’d now like to turn the call over to Magee Field with Investor Relations for Two Harbors.
Margaret Field: Thank you, Bridgit, and good morning, everyone. Thank you for joining our call to discuss Two Harbors’ second quarter 2017 financial results. With me on the call this morning are Tom Siering, our President and CEO; Brad Farrell, our CFO; and Bill Roth, our CIO. After my introductory comments, Tom will provide a brief recap of our quarterly results; Brad will highlight key items from our financials and Bill will review our portfolio performance. The press release and tables associated with today’s call were filed yesterday with the SEC. If you do not have a copy, you may find them on the website or the SEC’s website at sec.gov. In our earnings release and slides, which are now posted in the Investor Relations section of our website, we have provided a reconciliation of GAAP to non-GAAP financial measures. We urge you to review this information in conjunction with today’s call. I would also like to mention that this call is being webcast and may be accessed on our website in the same location. Before I turn the call over to Tom, I’d like to remind you that remarks made by management during this conference call and supporting slides may include forward-looking statements. Forward-looking statements reflect our views regarding future events and are typically associated with the words, such as anticipate, expect, estimate and believe or other such words. We caution investors not to rely unduly on forward-looking statements. They imply risks and uncertainties, and actual results may differ materially from expectations. We urge you to carefully consider the risks described in our filings with the SEC, which may be obtained on the SEC’s website at sec.gov. We do not undertake any obligation to update or correct any forward-looking statements if later events prove them to be inaccurate. I will now turn the call over to Tom.
Thomas Siering: Thank you, Magee, and good morning, everyone. We hope that you had a chance to review our earnings press release that we issued last night. As reflected on Slide 3, during the quarter we generated comprehensive income of $85.9 million or $0.25 per weighted average share, core earnings were $0.28 per weighted average share. Additionally, we delivered total return on book value of 2.2%. Our results were primarily driven by solid performance across our strategy as our team took advantage of attractive market opportunities. And our rate strategy we remain committed to building our MSR position to pair with Agency RMBS, as we believe this allows us to deliver better returns with less risk. Our credit strategy continues to be further enhanced by a strengthening economy and strong fundamentals in the housing sector. We believe that there is significant opportunity to continue to capitalize on our valuable Non-Agency RMBS positions. I performs this quarter again demonstrates the benefit of our hybrid model and our ability to deliver strong returns for stockholders. The most notable highlight of the quarter was the formation of Granite Point Mortgage Trust as a standalone entity for our commercial real estate platform. Granite Point again trading on June 23 on the New York Stock Exchange under the ticker symbol GTMT. We believe that the creation of Granite Point will better reflect the embedded value in the commercial business that we have built over the past 2.5 years. As demonstrated through the formation of Granite Point we have a strong commitment to maximizing shareholder value over the long-term. Since our inception in October 2009 we have delivered a total stockholder return of 192% which compares favorably to the Bloomberg of REIT mortgage index return of 124%. Our Alpha generation over the past eight years has been driven by our focus on dynamic capital allocation superior asset selection and a sophisticated approach to risk management. Additionally, we continue to use our balance sheet to benefit stockholders. Specifically post quarter and we were able to successfully access the preferred equity markets. The underwriters exercised their full over allotment option resulting in total offering proceeds net of offering cost of approximately $278 million. We intend to use the proceeds to invest in Agency RMBS, MSR and credit assets. Clearly in the current paradigm, the preferred market is a cheaper form of equity capital than what is available in the common stock market. Further, we believe this capital raise will be accretive to our earnings. Turning to Slide 4. We believe that we are in an excellent position for the future. Our team continues to execute on our previously articulated plan for 2017 which is focused on running a more efficient business model, while maximizing returns for our stockholders. Through close attention to asset selection, we opportunistically allocate capital to the most attractive investment opportunities across our rates and credit strategies. We continue to find ways to diversify our financing profile and manage our balance sheet and capital structure to optimize earnings and shareholder returns. Most importantly, we believe that our sophisticated and disciplined approach to risk management of which MSR is a key component and a distinguishing factor allows us to deliver strong results and book value stability through a variety of rate environments. I will now turn it over to Brad for a review of our financial results.
Brad Farrell: Thank you, Tom. Please turn to Slide 5. Our book value at June 30 was $9.87 per share compared to $9.91 at March 31. During the quarter, we delivered comprehensive income of $85.9 million or $0.25 per share which largely offset our dividend per common share of $0.26 and our Series A preferred stock dividend. As Tom noted, Two Harbors acquired 76.5% of the outstanding common stock of Granite Point and a formation transaction that closed concurrently with Granite Point’s IPO. Due to our controlling ownership interest in Granite Point, we will consolidate Granite Point on our GAAP financial statements and help such time as the shares received and distributed to our stockholders. During the consolidation period, we will reflect a non-controlling interest on our financial statements for the portion of equity and net income not attributable to Two Harbors. In a moment, I would discuss additional GAAP and tax accounting details concerning Granite Point. Before doing so, let's turn to Slide 6 to review our core earnings results for the quarter. Strong core earnings exceeded our run rate expectations and resulted in weighted average core EPS of $0.28. Second quarter core earnings benefited from $1.6 million of higher net interest income due to higher average balances in our RMBS portfolio partially offset by an increase in average borrowing rates and balances. During the quarter, we held higher average debt to equity which increased to 4.7 times from 4.4 times in the first quarter. We also realized a favorable difference of $5.3 million in swap expenses quarter-over-quarter due to an increase in short-term LIBOR and decreased notional swap amounts as we preferred optional protection in the form of swaptions. Our other operating expense ratio increased slightly to 1.9% from 1.8%. The main driver of this increase was the recognition of $2.5 million in deboarding and transfer fees as we repositioned a sizable amount of our MSR portfolio across our subservicer network. We believe these transfers were important to our effectiveness in our servicing oversight role, will also result in lower costs of subservicing in future periods. Turning back to the Granite Point transaction, let's turn to Slide 7 to look at a pro forma balance sheet of Two Harbors at June 30. The intent of this pro forma is to illustrate Two Harbors balance sheet as if the Granite Point entity was not consolidated and we have completed the distribution of the Granite Point shares to our shareholders by June 30. As you can see on the bottom right, our pro forma GAAP book value would have been $8.05. This lower book value per share result in several important considerations to understand the stockholder. First, as we remove the lower levered CRE portfolio of Granite Point from our balance sheet, our overall debt-to-equity would nominally increase as illustrated here by the 5.5 times. Aside from that, we don't expect any material changes to our leverage metrics. Second, we have numerically lower core earnings to do the lower capital base. We believe our core earnings on a relative basis would be flat to accretive compared to the past few quarters. We're optimistic and believe that Two Harbors will benefit from a simpler business model across our rate and credit strategies. And going forward, we believe this will also allow us to maintain similar or modestly better dividend yields on book value. Turning to Slide 8, let's briefly discuss the special dividend of Granite Point common stock. While these shares are currently subject to 120-day lockup period, we have stated as it is our intention to distribute these shares in the form of a special dividend to our stockholders, separate from our cash distributions. For a tax purposes, the fair market value of the special dividend will be the closing price of the Granite Point common stock on the day of distribution. For example if the distribution had been made on June 30, the fair market value would have been $18.92 per share multiplied by approximately 33.1 million shares or $625.7 million. Importantly, it is our intention to distribute enough cash dividends this year to fluctuate return of capital, there will be approximately equal to this fair market value of the Granite Point stock distribution. This may result in a special cash dividend later in the year, although we expect the amount to be relatively insignificant. With respect to the distribution ratio, if we use our June 30, shares outstanding were approximately $349 million, the distribution ratio would have been roughly one share of Granite Point for every 10 common shares of two harbors. Please note that this dividend remain subject to the approval of our Board of Directors and subject to change. Please turn to Slide 9, a diversified and dynamic financing profile includes traditional repurchase agreements, FHLB advances, revolving credit facilities and convertible senior notes. We had $13.3 billion of outstanding purchase agreements at June 30 with 25 counterparts. The outstanding repo balance includes the consolidation of the Granite Point financing facilities. We have not observed any disruptions as the repo markets continue to function efficiently for us. We continue to thoughtfully manage our FHLB capacity. Our FHLB advances totaled $3.2 billion at June 30, with a weighted-average borrowing rate of 1.52%. Going forward, we anticipate that our balances may decline as we transition some agency of RMBS to repo financing. As today’s repo rates and terms are more favorable for financing these assets. As always, we are continuously monitoring and evaluating the best sources of financing, not only to be effective in our diversification and risk management, but to also achieve lower costs. We are financing MSR through both revolving credit facilities and the convertible debt issuance. At quarter end, we had $40 million or short-term borrowings under revolving credit facilities, with additional available capacity of $50 million. We have provided some additional details on our borrowings on appendix Slide 25. I will now turn the call over to Bill for a portfolio update.
William Roth: Thank you, Brad and good morning everyone. We delivered another quarter a strong performance across our rates and credit strategies. Our credit strategy performed particularly well as we continued to capitalize on the opportunities available in Legacy non-Agency RMBS. As we have noted before, the benefit of our hybrid model is the ability to allocate capital to the most attractive investment opportunities across our rates and credit strategies at any given time. Looking at Slide 10, you will see both our portfolio composition at June 30, and our capital allocation quarter-over-quarter and year-over-year. As highlighted on the right hand side of the slide, if the Granite Point shares have been distributed as of June 30, our capital allocation to rates in credit would have been approximately 65% and 35% respectively. As Tom mentioned earlier on the call, post quarter end, we completed the preferred stock offering. We believe investment opportunities in our rates and credit strategies currently offer a low to mid double-digit ROEs and as of the end of July, we had deployed the majority of the proceeds into Agency RMBS, MSR and credit assets. Moving to Slide 11, I'd like to go over a few of the drivers of our portfolio performance in the second quarter. Interest rates did not move substantially in the quarter, although the curve flattened in higher coupon agencies underperform modestly. Non-Agency spreads tightened positively benefiting our credit strategy and overall performance. Both our annualized portfolio yield and rich yield were relatively unchanged from the first quarter. The addition of Legacy non-Agency at lower yields then our existing holdings was the main driver of the yield decrease from 9.2% to 8.5%, which also impacted our overall NIM slightly. In the first half of this year, we purchased about $400 million of Legacy non-Agency’s bring our total credit holdings to $2.3 billion. While these securities were purchased with conservative assumptions that baseline yields in the 5s we believe there to be substantial additional upside. To highlight this, the bonds that we bought this year have already appreciated in value bringing our realized return on those assets into the mid-teens on an annualized basis. We believe that these legacy non-agencies will continue to have upside potential. Please turn to Slide 12, as we discussed our rate strategy. Our objective is to provide strong returns through a variety of rate environment. A core component of the strategy is our investment in MSR. We believe that the combination of agency pools and MSR drives a higher return with less basis risk than agency hedged only with swaps. The reason this is important is because it is widely anticipated that the Fed will reduce their reinvestment in Agency RMBS which will likely caused mortgage spreads to widen. MSR benefits from wider mortgage spreads that's mitigating the potential impact to our book value. MSR is a significant benefit to our portfolio in this scenario as compared to an agency only strategy. In terms of portfolio activity in the rate strategy we focused on increasing our prepaid protected pool holdings from 72% up to 83%. On the MSR front we added $5.8 billion in UPB of MSR from slow sale arrangements during the quarter. We also closed on two bulk purchases totaling $13.1 billion UPB. It is our expectation that near-term flow sale MSR volume will run about $2 billion per month and we intend to continue to grow MSR as a component of our rate strategy going forward. Let's move to Slide 13 to discuss our credit strategy. Residential credit performed very well in the second quarter and our strategy continues to benefit from fundamental improvement in the housing market and positive market technical. Housing prices are up 6.7% on a rolling 12-month basis which is supported by the tailwinds of affordability, low housing supply and strong demand. These tailwinds are quite meaningful and we believe future residential credit performance will continue to be strong driven buy increasing prepayment lower delinquencies, defaults and severities. To benefit from this we have positioned our portfolio primarily into deeply discounted legacy assets due to the yield pick up these can realize from improving performance. To emphasize this point we continue to realize both better credit performance and faster prepayments in our initial expectations. And as a result of this in the quarter we released another $13.9 million in credit reserves against this portfolio, bringing the total amount of credit reserve released over the past 12 months to $38.2 million. We still see opportunity to realize strong returns in this sector and have you some of the proceeds from the preferred stock offering in the third quarter to purchase similar bonds with upside performance potential. In closing our investment strategy going forward remains rooted in our core competencies of understanding and managing interest rate, mortgage prepayment and credit risks. With that in mind we will continue to opportunistically allocate capital to the most attractive investment opportunities across our rates and credit strategies. While maintaining our sophisticated in just planned approach to risk management. With that, I will turn the call back over to Bridgit for Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Doug Harter with Credit Suisse. Your line is open.
Douglas Harter: Thanks. Could you talk about the outlook for credit? I know you said you continue to see opportunistic, but I guess what the absence are with the commercial being split off. Do you think you'll be able to sort of consistently allocate capital there and sort of maintain the allocation and other any other kind of new or credit investments that you're looking at?
Thomas Siering: Hey, Doug. Good morning. Thank you for joining us.
Douglas Harter: Good morning.
Thomas Siering: Yes, that's a great question. I think there's a couple things I would point out first of all as you might recall from past discussions around our non-agency position, the average life of our holding somewhere in that seven to eight years. So we expect the portfolio to have quite a long average life, which obviously, we are excited about because we think we can benefit from the tailwinds that we discussed on the call for this portfolio. In addition to that there's numerous other sectors that we're looking at currently and also that we believe over time will have value to us. I think CRT is going to continue to grow. We have not been excited about those spreads lately. And so we're not really focused on that, but as the non-QM and NPL securitization and other securitization of private loans continues, we're pretty confident that we're going to be able to take advantage of that over time.
Thomas Siering: Yes. Doug, its Tom. Good morning. And if I could just add to that. As Bill mentioned, we have a quite extended life of our non-Agency book and that’s four quarter short now – my estimation I want to be because prepayments fees continuing to accelerate which in some respects is a problem, a very high class problem as that would result in higher book value, and obviously more money to spend for our shareholders. So if I have to have a problem I'd rather have that high class type, but as Bill mentioned, we think our credit portfolio will be in place for quite a while going forward.
Douglas Harter: Great. Thank you, guys.
Thomas Siering: Thank you, Doug.
Operator: And our next question comes from Bose George with KBW. Your line is open.
Bose George: Hey guys, good morning. In terms of the incremental return opportunities, can you just talk about how rate compares to the returns you can get now in credit?
William Roth: It's Bill Roth. Good morning. Yes, so there are quite different profiles, but we're really actually pretty excited about both of them. On the rate side, agency is paired with MSR and I think we mentioned about $2 billion a month on a slow basis in terms of what we are getting. That's in the low to mid double-digits and so that obviously is also attractive because with the Fed poised to reduce their balance sheet to the extent that agency spreads widen MSR is going to provide a very nice buffer against widening agency spreads at which point NIMs will be more attractive, but from a book value standpoint will be much better protected than say an agency-only REIT. And then on the credit side, it's a very different profile because while you're going in yield on these legacy assets is not as high as it was say five, six years ago. There's still a tremendous amount of upside. I talked about on the call that we bought bonds with yields in the five earlier this year, but it's not even been six months and our realized return has already been in the mid-teens on an annualized basis. So what you're looking for there is sort of a high single-digit baseline with no upside kind of assumption, but where your realized return which obviously would be good for book value can be much higher and in fact that's been our experience is that we've realized substantial upside from these. Hopefully that answers your question.
Bose George: Yes, that does. Thanks. And then actually just switching over to servicing. I think last quarter there was a discussion about the funding side of MSRs improving. Just wanted to get an update there, are you getting closer to seeing asset level funding for the MSRs?
Brad Farrell: Thank you for that follow-up question. We don’t tend to update we are as we mentioned previously speaking with several counter parties. We do think the market is creating structures that are going to provide the liquidity and value protection that we're looking for in financing that asset class. I said Janie Mae market is probably further along than the conventional. But we're still very optimistic that we will have something in the works and optimistically done by the end of the year to establish more leverage in that asset class.
Thomas Siering: This is Tom. Bose, good morning. Yes, we continue to think this is a significant area of opportunity for the Company.
Bose George: Okay, great. Thanks. Let me just ask one more, just kind of a broader market question. Just wanted to get your thoughts on the incident in June where Wells Fargo, the trustee withheld proceeds or some of those are called bonds, just wanted to see if you thought there was any read through that we should think about?
Thomas Siering: Well, yes that's a challenging one because it certainly was unprecedented and as we know there's already litigation that’s been put in place. So I don't know that we have a real strong opinion on how that's going to play out, with regard to our situation or our portfolio. This isn’t really something that we're not concerned about at all actually because the bonds that they're focused on are in deals that are callable and there might be advantage to the owner of the call right to exercise back to call. So those are typically much cleaner, prime or potentially high quality of a deal. As you know almost all our portfolio is in deeply discounted subprime bonds. The average delinquency in the deal that we have is in the low 20s, so given that the bonds are deep discounts of the delinquency. This is that really something we would anticipate impacting us at all. But it's certainly going to be interesting to watch to see how plays out.
Bose George: Okay, great. Thanks.
Operator: Thank you. And our next question comes from the line of Steve DeLaney with JMP Securities. Your line is open.
Steve DeLaney: Thank you. Appreciate you taken the question, looking at the pro forma leverage and equity allocation that you provided 5.5 times, debt-to-equity, and 65% allocation to rates. Can you comment on how you see those within sort of the spectrum of well leverage or the equity allocation might go? It would certainly look just on the surface, but those percentages are higher both in terms of leverage and allocation to the rate strategy than we've seen over the last several years? Thanks.
William Roth: Yes, hey Steve good morning.
Steve DeLaney: Hi, Bill. Good morning.
William Roth: Thank you. Yes, keep in mind that we did use some leverage from the convertible bond to benefit the MSR. And there's certainly the possibility for more financing available for MSR. In terms of the allocation, the leverage that is on our balance sheet as of June 30 obviously reflects sort of an unusual period of time with the Granite Point in the IPO. But on a going forward basis, I think the rate strategy, if you look back in time, a rate strategy leverage or agency strategies typically somewhere in the mid to high single-digits and kind of strategy 1.5 to 2.5 times. So on a blended basis, we’ve booked reasonably comfortable with that and we would have expect it to be somewhere in that range as we move forward.
Steve DeLaney: Okay, that’s helpful.
Thomas Siering: Hi, Steve.
Steve DeLaney: Hi, Tom.
Thomas Siering: Good morning. How are you?
Steve DeLaney: Well, thanks.
Thomas Siering: I think if you did a composition of existing two harbors and pro forma two arbors, but the leverage within the pro forma book really hasn't changed. What it's really largely due to the nominal higher leverage is the – 14 into Granite Point of the commercial real estate assets, which of course carry with them, lower less than agency. So if you look at overall leverage on the pro forma, but it really hasn't changed meaningful way. I mean there's a bit of noise in there, but from thematic standpoint, it really hasn't changed.
William Roth: Yes, Steve I want to add one more thing, which I actually think is really something worth pointing out and that is if you have an agency – let’s just talk about the rates and if you have agency only strategy, in other words just agencies and swaps or treasuries whatever your preferred hedge mechanism that based on whatever leverage you run that actually generates a certain amount of exposure to wider spread, when you couple with agencies with MSR, and I think we talked about this before, we talked about this on our webinar, you’re going to actual have using the same leverage on agency pools combined with MSR. Do you actually have a higher return with less spread that exposure which actually imply that if you use a little bit higher leverage on agency, you can still have less risk from spread exposure? So I think that’s important also added the benefit the MSR adds to the late strategy as they ability to be comfortable with comparable leverage or even higher leverage and still have less risk.
Steve DeLaney: That’s not always I think intuitive in terms of the MSRs in the spread issue and I assume the way where we get there in terms of benefit is that obviously that spread widening functions and the effective cost of borrow refinancing and so you do get a wider spreads or higher rates or both going to I guess make the MSR have longer slower CPR.
Thomas Siering: Right. Well, I mean just to give you an idea, so our MSR at June 30 roughly hedges about 4 billion of pools. So if you think about our total pool position you know against rates alone. It's obviously much, much lower you know what’s lower by about 4 billion.
Steve DeLaney: Right.
Thomas Siering: So pools in MSR relatively stable profile as it relates to spread and rate.
Steve DeLaney: Yes. Thank you for that. One more quick comment just in terms of your structure of your capitalization of the company. You had previously done a convert I guess in the first quarter and now this larger preferred issue along with the original preferred it looks like maybe $700 million of long-term and our investable capital in addition to you common equity base. Looking at that kind of pro forma it looks like that $700 million will represent 24% or so of common equity after the spin-out. Is there when you look at your balance sheet in your source of capital this that 24% give you some incremental space for additional notes or converts or preferred from sort of where you will be outstanding in November. And that’s my last question. Thanks.
Thomas Siering: Well, Steve, you always ask great question. So, after as many as you'd like, but you really should think about the convertible bond offering in the preferred different way we certainly do. So with respect to the convert we really think about is financing for MSR and whether or not we would revisit those waters will probably be largely due to the outcome of our goal of achieving this screed MSR financing through one or two different methods. We're fairly far down the path in that goal but obviously there's more to be reported in that regard. As far as the preferred stock goes you should the way we think about is simply achieve perform of equity capital the - what's available in the common stock market. And so one of our primary goals of the company is use our balance sheet and capital structure and a smart way to optimize shareholder returns. And so whether will be tinker with convert or preferred offerings going forwards it's going to depend upon a lot of things including market conditions obviously being the primary one.
Steve DeLaney: Well, thanks for your time and your comments this morning.
Thomas Siering: Thank you, Steve.
Operator: And your next question comes in the line of Rick Shane with JPMorgan. Your line is open.
Rick Shane: Guy thanks for taking the questions this morning. A lot of this been touched on but it love to sort of think about this both in terms of the short and long-term in terms of capital allocation. You show basically two-thirds to rates one-third to credit. I'm curious with the new capital that came in from the preferred were you roughly in line with that mix and then longer-term what are sort of the brackets around that so we can think about how you will approach the market opportunistically over the long-term?
Thomas Siering: Hey, Rick, thanks for joining us. So you know I mentioned on the call we had done a pretty good job putting the capital to work from the most recent preferred offering as of the end of July. And I think you should expect probably that rates probably got a little more than it’s the share that showed on Slide 10, but you know keeping in mind that we're trying to be much more opportunistic on the credit side, obviously pools you can buy with a phone call and MSR we're getting every month. But we do anticipate that credit will get a fair share of that. Longer term, and as you know you've been following us for over the year is we really try to be opportunistic with where the market presents attractive investment opportunities for us. So I think it's highly unlikely that we’ll be 100% one way or the other and we think it's – having a credit exposure when credit is attractive makes complete sense to us and it also helps diversify and stabilize the overall portfolio returns. But to try and put numbers on it, we're not sure what the market is going to give us. It's fairly challenging. I think in the short run, in other words, next whatever 12 to 18 months, it’s probably going to look more like what it does today than anything significantly different.
Thomas Siering: Rick, I mean just add to that. I mean the way we think about it is this is how we see the world today, but we don't want to be committed to doing this thing or that thing, we just want to be committed to doing the best things for our shareholders. So this is how we see the world today, but as Bill says the future is not promised to any of us. We just want to do smart things with good risk return profiles.
Rick Shane: Fair enough. And again, I mean I think that's what we're trying to figure out which is that with spreads wide on agency and pretty tight on credit is this sort of two thirds, one third towards the boundary of where you want to be or is the boundary 75-25 in the current environment and gravitating back to 60-40 over time?
Thomas Siering: Yes. We don't know. To be honest to answer, we think that runaway for MSR is quite encouraging and we think that's a significant opportunity for us going forward. We think that’s a distinguishing factor, but the markets aren’t promise to any of us and so what that mix is on from 2018 or 2019, it's very difficult for us to say and we don't want to be disingenuous. We just want to be committed to doing the smartest things we can.
Rick Shane: Look guys, I really appreciate the honesty of that answer and sometimes the best answer is I don't know, so I appreciate that. One question, I just want to make sure I understood this. You talked on the credit securities that you purchased earlier this year about realized gains, did you actually enter and exit those trades or – I just want to make sure I understood that precisely?
Thomas Siering: Again this is Tom. What Bill said was that non-Agency that we had bought earlier in the year had appreciated in value and we didn't make any comment on realizing gains on those. It’s unlike us to move things around or trade things around unless we think that really achieved fair value or exceeded fair value. We still think the budget is achieved…
Rick Shane: If you are going to be surprise me – because I thought I heard realized and it seemed a little in Congress with the strategy all along.
Thomas Siering: Yes, just to be clear. I think you're interpreting realized to mean that we sold them all and that was not the intent of that remark. We brought them and have been marked up higher. And as a result of that, annualized return was in the mid-teens, but you should not interpret that to mean that we sold them all and took those gains from that process. I think perhaps your reading the word realized too literally in that context.
Rick Shane: Okay, got it. Thank you, guys.
Thomas Siering: Thank you.
Brad Farrell: Thanks Rick.
Operator: Thank you. And our next question is from Jessica Levi-Ribner with FBR. Your line is open.
Jessica Levi-Ribner: Good morning. Thanks for taking the question. Most has been asked and answered, but can you talk a little bit about the new subservicing arrangements, you mentioned that it should result in a lower cost of subservicing, how can we think about that in our models?
Thomas Siering: Thank you for that question. We have a sizable subservicing network which allowed us to the variety of benefits, it allowed us to establish meaningful relationship with a broad selling network. It also allowed us to reposition the portfolio where we think either we're going to feel like we get the best service as an overseer of MSR and also pursue opportunities, but we think we can save money over the long-term. In this case, we thought we actually get all those things by shifting a sizable amount of our portfolio across on our subservicer network. As we noted it, we recognize about $2.5 million of the boarding fees or transactional fees with that, and we generally estimate with that recovery will be between 12 to 15 months and we’re obviously generates additional earnings beyond that. So I think we will see that from time-to-time. We don't see it the size of this having very often, but again as I said we want to make sure our seller network is broaden, we want to make sure that we're getting the best servicing performance to protect our MSR and then where we see opportunities, we're willing to take that the boarding costs and move servicing to benefit our future cost as well as make sure we get the best performance. That kind of generally how we think about and that’s kind of a summary of that 12 to 15-month payback period for that costs.
Jessica Levi-Ribner: Okay and just what’s your desired allocation to MSR? I know you made the comments that there's going to be roughly $2 billion per month on a flow basis, but is there a cap free you guys with MSRs?
William Roth: Well, I kind of go back to what Tom said earlier, which is we're trying to put our money into what we think is the most attractive holding that will drive our returns for our stockholders at any given point in time. So historically we've talked about 20% to 30% of capital, which given that we have now got some leverage available albeit it's not extensional amount of leverage which you wouldn't expect necessarily on that asset class. That only allows us certainly to continue to grow our MSR portfolio quite nicely for the foreseeable future. Now the other thing is if you think about the returns I talked about sort of low to mid double-digit, to us that’s – as attractive as anything that we're seeing. So it's certainly the best dollar that we can put to use today. So I would say for the foreseeable future, you can expect us to continue the path that we're on. I hope that kind of tells you a way we're thinking about, I don't I don't think we think about it in terms of specific dollar amount or equity capital now.
Thomas Siering: Yes, I mean in the near-term feeling, it isn't approximate. So we anticipate continuing to grow the book going forward and big that is going to be a function of market conditions again and how they pair with agencies et cetera. We think the runway for MSR is great and you should reasonably expect that book to continue to grow. Certainly to flow agreements potentially through future bulks fields. But that is the path that we're on and we see no reason to effort from that path.
Jessica Levi-Ribner: Okay. Fair enough. Thanks so much.
Thomas Siering: Thank you.
Operator: [Operator Instructions] And our next question is from the line of Frederick Small with Compass Point. Your line is open.
Frederick Small: Hey, sorry. My question got answered. Thanks.
Thomas Siering: Thanks Fred. End of Q&A
Operator: I'm not showing any further questions. So now I'll turn the call back over to Mr. Siering for closing remarks.
Thomas Siering: Thank you, Bridgit. Thank you everyone for joining our second quarter conference call today. We are pleased with the progress we have made on our plan for 2017 and look forward to speaking with you again soon. Have a wonderful day
Operator: Ladies and gentlemen, this does conclude the program. You may now disconnect.